Presentation:
Operator: Greetings, and welcome to the Reliance Steel & Aluminum Company Second Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Ms. Brenda Miyamoto, Investor Relations for Reliance. Thank you, Ms. Miyamoto. You may now begin.
Brenda Miyamoto: Thank you, operator. Good morning, and thanks to all of you for joining our conference call to discuss our second quarter 2015 financial results. I’m joined by Gregg Mollins, our President and CEO; Karla Lewis, our Senior Executive Vice President and CFO; and Executive Vice President of Operations, Jim Hoffman and Bill Sales; David Hannah, our Executive Chairman will also be available during the question-and-answer portion of this call. A recording of this call will be posted on the Investors section of our website at investor.rsac.com. The press release and the information on this call contain certain forward-looking statements, which are based on a number of assumptions that are subject to change and involve known and unknown risks, uncertainties or other factors which may not be under the Company’s control, which may cause the actual results, performance or achievement of the Company to be materially different from the results, performance or other expectations implied by these forward-looking statements. These factors include, but are not limited to those factors disclosed in the Company’s Annual Report on Form 10-K for the year ended December 31, 2014, under the caption Risk Factors and other reports filed with the Securities and Exchange Commission. The press release and the information on this call speak only as of today’s date, and the Company disclaims any duty to update the information provided therein and herein. I will now turn the call over to Gregg Mollins, President and CEO of Reliance.
Gregg Mollins: Good morning, everyone, and thank you for joining us today. I am extremely pleased with our operational performance in the second quarter of 2015, which is a testament to the quality of our management team in the field as well as to our business model. Despite ongoing industry headwinds that further pressured metal pricing in the quarter, we were able to increase our FIFO gross profit margin to 25.7% up from our strong 2015 first quarter FIFO gross profit margin of 25.4%. We believe that our continued focus on small, quick turnaround orders and inventory turns allows us to maintain consistent gross profit margins and that our significant investments in equipment in recent years to provide higher levels of value-added processing to our customers, has further enhanced our ability to maintain and improve our gross profit margins, even during difficult business environments. We believe our position in the market has also contributed to our ability to increase our market share. With our tons sold in the first half of 2015 decreasing by 0.6% compared to the first half of 2014, compared to the MSCI industry average of a decrease of 5%. Although our second quarter tons shipped were lower than we had anticipated, we believe that underlying customer demand remains relatively strong. In particular, the aerospace and automotive end markets remain strong and we see ongoing opportunities for continued growth in these markets. We also continue to be encouraged by slowly improving momentum in our activity levels in the nonresidential construction market our largest end market. Although lower oil prices have significantly reduced demand for our business serving the energy market, our ongoing cost reduction initiatives and disciplined sales strategy have helped mitigate the impact on our overall profitability. Pricing for all commodity types continued to weaken as the second quarter progressed, primarily due to historically high level of imports, supported in part by the strength of the U.S. dollar. In fact, pricing was even softer than we had projected heading into the second quarter. As a result, same-store average selling price per ton sold declined 5.3% for the second quarter of 2015 compared to the prior quarter and declined 8.6% from the second quarter of 2014. On a positive note we have started to see pricing begin to firm with certain products in recent weeks. And we’re cautiously optimistic that overall metal prices will trend modestly higher in the second half of 2015. In light of the difficult pricing environment we remain highly focused on managing all aspects of the business that are within our control, which continues to lesson much of the impact from the challenging market conditions. In 2015 we’ve had a significant push on reducing inventory and I am proud to report that we decreased our FIFO inventory by a $163 million during the second quarter. This is a significant accomplishment for our company and use in June 30, 2015 FIFO inventory turns on hand. And our first half 2015 shipment levels our inventory turn rate would be 4.6 times. This is the first time in many years that we have been this close to achieving our internal company wide goal, which is currently 4.75 turns. I want to personally thank all of our employees that help us achieve these results. I attribute our progress to refocusing our team on several critical factors that have led to Reliance’s best in class inventory management. And these include compensation plans for our executives and managers in the field that reward working capital management. Our track record and strong preference to purchase domestically produced materials over imported materials that require much longer lead times. Our focus on customers requiring smaller quantities of material and just in time inventory management practices. And finally, the significant inner company support and sharing of best practices among the Reliance family of companies that includes nearly 300 service center locations. I currently believe that our improved inventory management contributed to an increase in our FIFO gross profit margin to 25.7%. As a result of our solid gross profit margin and effective expense control, second-quarter net income attributable to reliance was $90.2 million and earnings per diluted share were a $1.20 above our guidance range for the quarter. Our significant inventory reductions contributed heavily to our strong cash flow from operations in the second quarter of $292.5 million. Through the first half of 2015 we have generated a total of $464 million in cash flow from operating activities. We are pleased with this result, which highlights our ability to consistently generate cash flow through various industries cycle. In the second half of last year we completed the acquisitions of all MetalServices, Northern Illinois Steel Supply, and Fox Metals and Alloys that contributed to our second quarter 2015 consolidated net sales of $2.42 billion. In total we sold 1.51 million tons of metal during the second quarter of 2015. While we have not completed any acquisitions so far in 2015, we continue to see and evaluate opportunities and as always M&A will remain an integral part of our overall growth strategy. We expect to continue to be a consolidator in our highly fragmented industry by making strategic acquisitions of well-managed metals service centers and processors with end market exposures that support our diversification strategy. Our liquidity position and confidence in our operational execution provide a strong foundation for us to continue to grow our business through M&A and organic initiatives as well. At the same time deleveraging our balance sheet and returning value for our shareholders through dividends and opportunistic share repurchases. During the second quarter, we repaid a $156 million of debt. In the first six months of 2015, we repurchased $200 million of our common stock and repurchased an additional $61.5 million so far in July. On July 21st, 2015, our Board of Directors declared a regular quarterly cash dividend of $0.40 per share of common stock. As we have noted in the past Reliance has a broad range of products, significant customer diversification and a wide geographic footprint. Our high volume of small, quick turnaround orders and value-added processing coupled with our discipline sales strategy has helped the Company maintain and increase our gross profit margins even in today's difficult pricing environment. We have a very experienced team at Reliance and achieved industry-leading operating results and we remain confident in our ability to continue our track record of success going forward. I will now hand the call over to Jim to comment further on our operations and market conditions. Jim?
James Hoffman: Thanks Gregg and good morning everyone. My remarks today will focus primarily on [indiscernible] carbon steel alloy products as well as our outlook on certain key end markets we sell those products into. Bill will then address our aluminum and stainless steel markets. From an end market perspective, automotive, serviced mainly through our toll processing operations in the U.S. and Mexico remains very strong, and we believe this will continue. Our toll processing operations in the U.S. are expanding primarily in support of aluminum product now going into the automotive market. We are also adding a facility in Mexico to support the increased automotive activity in that area. Heavy industries such as railcar, truck trailer, shipbuilding, barge and tank manufacturers, and wind and transmission towers are all doing reasonably well. Agricultural and construction equipment have come off their peak, but we still are seeing good demand and remain well position to continue to service these important end markets. Nonresidential construction is our largest end market and although we have seen demand continue to improve, it remains well-below the peak levels. We are optimistic that this important market will continue to improve gradually throughout 2015 and 2016. We have made significant investments in our businesses serving this space that will allow us to provide a higher level of value added processing to these customers as their volumes increase. Energy, that being oil and natural gas, has slowed down due to the severe drop in oil prices and the related reduction in drilling activities. Our second quarter volume sold into our energy businesses declined approximately 35% from our volume in the first quarter of 2015, which was down 30% from the prior year. Because we began the process of reducing our expenses and inventory levels related to that market early in the fourth quarter of 2014, and have continued to do so as demand continues to decline, our energy businesses as a whole remain profitability through the second quarter of 2015. However, pretax income for these businesses was down over 85% compared to the second quarter of 2014. Carbon steel prices continue to be under a great deal of pressure in the second quarter, mainly due to continued record high import levels in the marketplace as well as a rapid decline in raw material prices, a strong U.S. dollar, a soft local economy, and high inventory levels throughout the supply chain. However, in this environment we actually increased our FIFO gross profit margin on sales of our carbon products in 2015 second quarter as compared to both the 2015 first quarter and the 2014 second quarter. Our success is due to many factors, including our product mix [indiscernible] our excellent customer relationship and our strong supplier partnership along with increased value added processing. Flat-rolled pricing has been under pressure since late in the third quarter of last year. There has been some recent price increase announcement for the portion of these increases moving on so far. Carbon flat-rolled products represent only 15% of our total sales with hot roll is 7%. We believe the recent trade case filings on coated products has been supportive of domestic prices and anticipate this any additional filings with also be positive for pricing. Trade represents the largest portion of our product mix followed by carbon steel, structurals, bars and tubing. Therefore, our results are more impacted by pricing in these products. Pricing for these products continue to be under pressure however we believe current prices are near to bottom and we anticipate the potential for modern increase for certain carbon products by the end of 2015. Pricing for alloy products a majority of which are sold into the energy end markets as now fairly steady considering the significant reduction in demand this quarter. We expect prices for these products to remain fairly steady with current levels, due in large part to product going into the automotive market. I will now hand the call over to Bill to comment further on non-ferrous markets. Bill.
William Sales: Thanks Jim. Good morning everyone. The aerospace market continues to be a bright sport for us. Demand is remain strong and we expected to improve throughout the balance of the year as build rates in the commercial airline market continue to grow. We've increased our presence in this area with the acquisition of All Metal Services, headquartered in the U.K., in August of 2014. As well as the opening of two new AMI metals facilities in France and Turkey in the first quarter of 2015. Sales to the aerospace market have increased as a percentage of our total sales. Now representing approximately 8% to 10% of our total sales in the second quarter of 2015. In addition to these growth activities our same-store tons sold also increased significantly reflecting the improved underlying demand. This is a good market for Reliance and we expect to continue to grow in this area as we support our global customers. The majority of the products that we sell to the aerospace market are heat treated aluminum products, especially plate, as well as specialty stainless and titanium products. Given the strong underlying demand the price for aerospace aluminum plate as improved over last year. Lead times are out 24 to 28 weeks up from the 13 to 17 weeks we saw in January. Both price increase announcements for this year have held and this product is in tight supply. We believe the aluminum played overhang that is existed for the past few years as generally work through the system. Our sales of common alloy up slightly from the volume standpoint with most of our product being sold sheet metal fabricators that support a variety of end markets. Demand on general engineering aluminum plate remain strong, with domestic lead times around 25 weeks. The price increases for March has held with the domestic mills but import pricing continues to be aggressive. Demand for semiconductor plate remain strong and the outlook is good for the balance of the year. Pricing on common alloy sheet follows ingot and as deteriorate from prior year levels due to increase imports as well as a significant reduction in the Midwest premium. Midwest spot ingot has been trading in the $0.80 to $0.85 per pound range down from the $1.06 per pound we saw in January. The conversion premium was that historically high levels for longer than we have anticipated and has decreased about $0.60 per pound since the beginning of the year. Outside of the energy market demand for stainless steel products continues to be good. We sell a significant amount of stainless steel flat products into the kitchen equipment appliance and construction end markets lead times are about 4 to 5 weeks. Pricing for stainless steel products is heavily impacted by nickel prices which began the year have $7.37 per pound and it’s currently down a $1.51 at $5.86 per pound in July. As an example surcharges for 304 have fallen from $0.76 per pound in January to $0.57 per pound in July. In addition, base prices have dropped few discount points due to a heavy influx of import products. We expect prices for stainless steel products to remain steady to up slightly for the remainder of 2015. I will now turn the call over to Karla to review our second quarter financial results in more detail. Karla.
Karla Lewis: Thanks, Bill and good morning everyone. Given the market conditions discussed earlier our 2015 second quarter tons sold and average selling prices were down compared to the 2014 second quarter as well as the 2015 first quarter. Sales from the companies we acquired in 2014 help frozen the decline in our tons sold as well as our average selling price. Since most of these companies sell specialty products or provide higher level of value-added processing, resulting in selling prices above our company-wide average. Our same-store average selling price has declined sequentially in each month beginning in September 2014 with our June 2015 average selling price down $200 per ton or a 11.5% from our September 2014 average selling price. Based on our second quarter same-store tons sold this equates to a loss of nearly $300 million in quarterly sales or $1.2 billion per year due to the impact of metals pricing and as we have explained before the majority of lost sales from pricing also result in lost earnings Because metals pricing, especially for carbon steel products declined more than we had anticipated and in 2015 second quarter as compared to the 2015 first quarter, we increased our annual estimate of our LIFO adjustment to income of $80 million compared to our prior estimate of $30 million. This resulted in a LIFO credit or income of $40 million for the 2015 first half with $32.5 million or $0.27 earnings per diluted share included in our cost of sales in the 2015 second quarter compared to $7.5 million of LIFO income or $0.06 per share in the 2015 first quarter In the 2014 second quarter, when metal prices were generally rising we recorded a LIFO charge or expense of $5 million or $0.04 per share. This adjustment reflects LIFO accounting working in the manner intended, reducing FIFO cost of sales in a declining price environment. The majority of our LIFO income is attributable to our carbon products as carbon suffered the most pricing pressure in the quarter and represents 80% of our inventory turns and 50% of our inventory dollars. Our updated annual LIFO income estimate of $80 million assumes that pricing for certain carbon and stainless steel products will increase modestly from current levels by the end of the year. Our 2015 second quarter gross profit margin of 27.1% is up from 25.7% in both the 2014 second quarter and 2015 first quarter. Our increased LIFO income contributed to our increased gross profit margin and on a FIFO basis our gross profit margin during the quarter exceeded our expectations especially considering the declining price environment. Given the competitive market and lower prices we anticipated that our gross profit margins would decline. However, as highlighted previously our teams in the field did a great job of maintaining and increasing our gross profit margin. Our 2015 second quarter SG&A expenses decreased modestly from both the 2014 second quarter and the 2015 first quarter primarily due to effective cost control throughout the company including decreased headcount in our businesses servicing the energy end markets. As a percent of sales our SG&A expenses were 18.2% compared to 17.0% in the 2014 second quarter and 17.1% in the 2015 first quarter. The increase as a percent of sales was impacted mainly by lower selling prices in the 2015 second quarter, using our average selling price in the 2015 first quarter applied to our 2015 second quarter volume results in SG&A expense as a percent of sales of 17.3%. As individual markets change, we will continue to remain disciplined in our efforts to adjust our variable expenses such as personnel costs which represent about 60% to 65% of our SG&A expenses. Our quick reaction to the significant decline in sales volume to the energy market allowed us to remain profitable in our energy businesses in the second quarter of 2015, which we believe is quite remarkable. Although our pretax income of $135.9 million declined from the 2014 second quarter and 2015 first quarter, we are very pleased with our pretax income margin of 5.6% for the quarter given the difficult pricing environment. Again this was possible because of our strong gross profit margins. Our effective income tax rate for the quarter was 32.6% compared to 36.6% in the 2014 second quarter and 31.7% in the 2015 first quarter first quarter. Our tax rate in the 2014 second quarter included the effect of a gain on the sale of certain non-core assets. In addition, our 2015 rate is benefiting from lower tax rates in certain states and foreign jurisdictions and we currently expect that our full-year 2015 effective income tax rate will be in the range of 32% to 33%. In 2015 second quarter, we closed the facility that was not performing in line with our expectations, resulting in a charge of $0.8 million included in our SG&A expenses which is presented in our table of non-GAAP net income and earnings per share amounts in our press release issued earlier today. Net income for the 2015 second quarter was $90.2 million or $1.20 earnings per diluted share well above our guidance range. Going to our inventory reduction efforts, we generated cash from operations of $292.5 million during the 2015 second quarter. We typically use cash in the first half of the year as we build working capital from seasonally lower fourth quarter levels. However, given the declining metal prices along with strong gross profit margins and our successful efforts to reduce our inventory levels, we were able to generate $463.9 million of cash from operations in the 2015 first half. Given our current expectations for both pricing and demand in the 2015 second half along with our continued efforts to further improve our inventory turn. We expect to continue to generate cash from operations, but not at the same rate is in the 2015 first half. On the working capital front, we continue to manage our receivables well with our accounts receivable days sales outstanding rate at June 30, 2015, 42.1 days in line with our historical range. Our inventory turn rate at June 30 was 3.9 times based on dollars and 4.4 times based on tons both fairly consistent with the prior quarter. However, given the significant inventory reductions in the 2015 second quarter, we expect these rates to improve as we move through the year. As Gregg mentioned earlier using our June 30 inventory on hand in our 2015 first half shipment levels, our turn rate is 4.6 times on ton. We use cash from operations to pay down $156 million of debt during the quarter. At June 30, 2015, our total debt outstanding was $2.2 billion resulting in an improved net debt to total capital ratio of 33.9%. As of June 30, 2015 we had $585 million outstanding on our $1.5 billion revolving credit facility. We spent $45.8 million on capital expenditures during the 2015 second quarter and our full-year 2015 CapEx budget remains $200 million the majority of which related to growth activities. We also paid quarterly dividends of $29.7 million during the quarter and further enhanced our shareholder returns with share repurchases. In the 2015 first half, we repurchased $200 million or 3.4 million shares of our common stock at an average cost of $58.17 per share. As a result of these repurchases, we realized an EPS benefit of $0.05 per share during the 2015 second quarter. And given that our stock price has continued to be undervalued along with her strong cash generation, we’ve been in the market recently repurchasing approximately $61.5 million of our shares so far in July. We expect to use available cash to continue to opportunistically repurchase shares of our common stock as well as to pay our quarterly dividend reduce our debt and support our various growth activities. Now turning to our outlook, overall we expect the U.S. economy to continue its modest improvement throughout the remainder of 2015. With the exception of our businesses directly servicing the energy markets we expect underlying demand to generally strengthen from second levels, subject to normal seasonal patterns. That said, we anticipate a decrease in tons sold of 1% to 2% in the third quarter of 2015 over the second quarter of 2015, compared to the more typical seasonal trend of gallon 3% to 5%. Although we expect metals pricing to remain under pressure for most products we sell we do expect the slight improvement in overall pricing from current levels with our overall average selling price expected to be flat to up 1% from second quarter level. Given this environment we would expect to be able to generally maintain our current FIFO gross profit margin with the potential for downward pressure. Based on our current annual LIFO income estimate we expect LIFO income of $20 million in the 2015 third quarter down from our second quarter amount which would reduce our reported gross profit margin as well as earning. As a result we currently expect earnings per diluted share to be in the range of $0.95 to a $1.5 in the third quarter ending September 30, 2015. We are confident in our ability to continue to effectively manage the controllable assets of our business to mitigate the volatile factors that impact our industry. Our effective working capital management and consistent gross profit margin provides strong cash flows that allow us to continue to fund growth while at the same time providing steady returned to our shareholders. That concludes our prepared remarks. Thank you for your attention and at this time we would like to open the call up to question. Operator.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Tony Rizzuto of Cowen and Company. Please go ahead.
Anthony Rizzuto:
Gregg Mollins:
Anthony Rizzuto:
Gregg Mollins:
Anthony Rizzuto:
Gregg Mollins:
Anthony Rizzuto:
James Hoffman:
Anthony Rizzuto:
James Hoffman:
Karla Lewis:
Anthony Rizzuto:
William Sales:
Anthony Rizzuto:
Gregg Mollins:
Anthony Rizzuto:
Gregg Mollins:
Operator: Thank you. The next question is from Timna Tanners of Bank of America Merrill Lynch. Please go ahead.
Timna Tanners:
Gregg Mollins:
Timna Tanners:
Karla Lewis:
Timna Tanners:
James Hoffman:
Gregg Mollins:
James Hoffman:
Timna Tanners:
William Sales:
Gregg Mollins:
Timna Tanners:
Gregg Mollins:
Timna Tanners:
Operator: Thank you. The next question is from Phil Gibbs of Keybanc Capital Markets. Please go ahead.
Phil Gibbs:
Gregg Mollins:
Phil Gibbs:
Karla Lewis:
Phil Gibbs:
William Sales:
Karla Lewis:
Phil Gibbs:
Gregg Mollins:
Phil Gibbs:
Gregg Mollins:
Operator: Thank you. The next question is from Luke Folta of Jefferies. Please go ahead.
Luke Folta:
Gregg Mollins:
Luke Folta:
Gregg Mollins:
James Hoffman:
Karla Lewis:
Gregg Mollins:
Luke Folta:
Gregg Mollins:
Luke Folta:
Gregg Mollins:
Karla Lewis:
Gregg Mollins:
James Hoffman:
Gregg Mollins:
Karla Lewis:
James Hoffman:
Luke Folta:
James Hoffman:
Karla Lewis:
James Hoffman:
James Hoffman:
Karla Lewis:
Luke Folta:
Operator: [Operator Instructions]. Then the next question is from Andrew Lane of Morningstar. Please go ahead.
Andrew Lane:
James Hoffman:
Andrew Lane:
James Hoffman:
Andrew Lane:
James Hoffman:
William Sales:
Gregg Mollins:
James Hoffman:
Andrew Lane:
James Hoffman:
Operator: Thank you. Our next question is from Brett Levy of CRT Capital. Please go ahead.
Brett Levy:
William Sales:
Karla Lewis:
Brett Levy:
Karla Lewis:
Brett Levy:
Gregg Mollins:
David Hannah:
Gregg Mollins:
David Hannah:
Gregg Mollins:
James Hoffman:
Brett Levy:
Operator: Thank you. We have no further question in queue at this time. I would like to turn the conference back to management for additional remarks.
Gregg Mollins: Okay. Well, listen, we'd like to say thank you for your support and for participating in today’s call. And we would like to remind everyone September we will be in Boston presenting that KeyBanc Capital Markets basic materials and packaging conference. Now we hope to see many of you there. Have a great day. And thanks again for participating on the call.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. And thank you for participation.